Operator: Welcome to The Hackett Group First Quarter Earnings Call. [Operator Instructions] Please be advised this conference is being recorded. Hosting tonight's call are Mr. Ted Fernandez, Chairman and CEO; and Mr. Rob Ramirez, Chief Financial Officer. Mr. Ramirez, you may begin. 
Robert Ramirez: Thank you, operator. Good afternoon, everyone, and thank you for joining us to discuss The Hackett Group's first quarter 2012 results. Speaking on the call today and here to answer your questions are Ted Fernandez, Chairman and CEO of The Hackett Group; and myself, Robert Ramirez, CFO. Our press announcement was released over the wires at 4:05 p.m. Eastern Time. For a copy of the release, please visit our website at www.thehackettgroup.com. We will also place any additional financial or statistical data discussed on this call that is not contained in the release on the Investor Relations page of our website.
 Before we begin, I would like to remind you that in the following comments and in the question-and-answer session, we will be making statements about expected future results, which may be forward-looking statements for the purposes of the federal securities laws. These statements relate to our current expectations, estimates and projections, and are not a guarantee of future performance. They involve risks, uncertainties and assumptions that are difficult to predict and which may not be accurate. 
 Actual results may vary. These forward-looking statements should be considered only in conjunction with the detailed information, particularly the risk factors contained in our SEC filings.
 At this point, I would like to turn it over to Ted. 
Ted Fernandez: Thank you, Rob. And welcome, everyone, to the fourth (sic) [first] quarter earnings call. As we customarily do, I will open up the call with some overview comments relative to the quarter, I will then turn it back over to Rob and ask him to comment on our operating results, cash flow, the Dutch tender offer and the new credit facility, and then provide some detailed comments relative to outlook. Rob will then turn it back over to me so that I can provide some market overview and some strategy-related comments, and then we'll open it up for Q&A. So then let me go ahead and start with our overview comment. 
 I want to, again, welcome everyone to our earnings call. We were pleased to report both our revenues of $57 million and pro-forma earnings per share of $0.08 were at the high end of our guidance. As expected, we built a revenue run rate throughout the quarter, which is reflected in the sequential momentum in our second quarter guidance. The second quarter will benefit from this operating momentum, as well as the accretion from the recently executed Dutch tender offer. Our results continue to emanate from solid market demand from the U.S.-based clients, servicing our advisory clients more broadly, strong performance from our EPM groups and from improved results from our European practices. Additionally, our best practice research and related marketing efforts continue to expand our brand permission from simply helping clients to find its performance improvement opportunity to assisting that client implement our recommendations. 
 On the equity side and balance sheet side, in March, as we have announced, we successfully completed the repurchase of 11 million shares at $5 per share, which represented nearly 27% of our outstanding shares. I cannot commend the Bank of America team enough for their responsiveness and the execution support they provided throughout the process. We believe the tender offer provided our shareholders with a meaningful liquidation opportunity which also helped reduce potential overhang risk. Overall, it was a very cost-efficient, accretive initiative which helped to highlight the prospects of our business model. 
 Our investments in our associates, our intellectual total property and our brand, along the new offerings and the new markets we continue to pursue, are continuing to improve our business model. We also see opportunities to further differentiate our business model such as our recently-launched Hackett Performance Exchange offerings. 
 I will comment on these opportunities in more details in my strategic overview section later on in the call. I will also comment further on the market conditions, the specific go-to-market initiatives, but let me first ask Rob to provide details on our operating results, cash flow and also comment on outlook. Rob? 
Robert Ramirez: Thank you, Ted. And welcome, everyone. I'll cover the following topics during our call. An overview of our 2012 first quarter results along with an overview of related key operating statistics, an overview of our cash flow activities during the quarter, and I will then conclude with a discussion on our financial outlook for the second quarter of 2012. For purposes of this call, any references to Hackett Group will specifically exclude ERP Solutions. Correspondingly, I will comment separately regarding the financial results of The Hackett Group, ERP Solutions and the Total Company. Please note that our references to gross revenues in my discussion represent net revenues plus reimbursable expenses. Additionally, references to pro forma results specifically exclude noncash stock compensation expense and intangible asset amortization expense, and assumes a normalized tax rate of 40%.
 In terms of our first quarter, the first quarter of 2012 Total Company gross revenues were approximately $57 million and at the high end of our quarter's guidance. This represents year-over-year growth of 8%. Total Company international gross revenues accounted for 21% of Total Company revenues in the first quarter of 2012, as compared to 20% in the first quarter of 2011. Gross revenues for The Hackett Group, which excludes ERP Solutions, were approximately $47.1 million in the first quarter of 2012, representing a year-over-year increase of 10%. Hackett Group annualized gross revenue per professional was $374,000, as compared to $360,000 in the first quarter of 2011 and $353,000 in the previous quarter. Our ERP Solutions group gross revenue totaled $9.9 million, a year-over-year decrease of 2% as expected. 
 ERP Solutions hourly gross realized billing rate per hour was $134,000 as compared to $128,000 in the first quarter of 2011. This includes the impact of our offshore resources, which approximate nearly 40% of our ERP implementation resources. ERP solutions consult utilization was 71% for the first quarter of 2012, as compared to 82% in the first quarter of 2011. Total Company pro-forma cost of sales, excluding reimbursable expenses and stock compensation expense, totaled $32.4 million, as compared to $29.5 million in the previous year. In both years, this represented 63% of net revenues.
 Total Company consultant headcount was 730 at the end of the first quarter of 2012 as compared to 713 in the previous quarter and 691 at the end of the first quarter of 2011. The sequential and year-over-year increase was primarily attributable to increased hiring activities in our EPM group commensurate with market demand. Total Company pro-forma gross margins on net revenues was 37% in the first quarter of 2012, as well as in the first quarter of 2011. Hackett Group pro-forma gross margins on net revenues was 39% in the first quarter of 2012, as compared to 38% in the first quarter of 2011. ERP Solutions pro-forma gross margins on net revenues was 28% in the first quarter of 2012, as compared to 34% in the previous year, primarily due to decreased year-over-year revenues in our overall ERP group. 
 Pro-forma SG&A was approximately $14 million in the first quarter of 2012 as compared to $13 million in the first quarter of 2011. In both quarters, this represented 27% of net revenues. Total Company pro-forma net income for the first quarter totaled $3 million, or $0.08 per diluted share, and was at the high end of our guidance. This performance compares to pro forma net income of $2.8 million or $0.07 per diluted share in the first quarter of 2011. First quarter 2012 results included unfavorable $0.01 impact due to increases in sales and depreciation expense related to the rollout of Hackett Performance Exchange as compared to the previous year. 
 Total Company pro-forma net income for the first quarter of 2012 excludes noncash stock compensation expense of $1.3 million, intangible asset amortization expense of $137,000, and assumes a normalized tax rate of 40%, or $2 million. At the end of the first quarter of 2012, the company had approximately $41 million and $12 million of income tax loss carryforwards remaining in the U.S. and in foreign tax jurisdictions, respectively. 
 Pro forma EBITDA in the first quarter of 2012 was $5.7 million, or 11% of net revenues as compared to $5.1 million, or 11% of net revenues in the first quarter of 2011. Total Company GAAP net income for the first quarter of 2012 totaled $3.5 million, or $0.09 per diluted share. This compares to $3.3 million, or $0.08 per diluted share in the first quarter of 2011. 
 In terms of our cash balances, the company's cash balances were $13.5 million at the end of the first quarter of 2012, as compared to $33.8 million at the end of the fourth quarter of 2011. This cash decrease in Q1 was primarily attributable to net cash utilized to fund our tender offer, as well as our net cash utilized in operating activities, which included the payment of 2011 bonuses. 
 During the first quarter, we completed our stock tender offer that resulted in the purchase of 11 million shares of common stock at $5 per share, or $56 million, including tender offer and debt related costs, which total approximately $1 million. This tender was funded by borrowings of $40 million under our new $50 million credit facility, along with approximately $16 million of available cash on hand. Subsequent to the end of the first quarter, the company repaid $4 million of our borrowings under the credit facility. 
 Net cash used in operating activity in the first quarter was $3.8 million, which was primarily attributable to the payout of 2011 performance bonuses and the timing of accounts payable and U.S. payroll cycles. Capital expenditures for the quarter were $931,000, primarily related to the development of the Hackett Performance Exchange and infrastructure investments in our Hyderabad facility in India. Total capital expenditures for the fiscal year are estimated at under $3 million, with approximately $2 million attributable to Hackett Performance Exchange. 
 Our DSO, or days sales outstanding, at the end of the first quarter of 2012 was 56 days as compared to 58 days at the end of the fourth quarter of 2011. 
 I'll now turn to guidance for the second quarter. We expect Total Company gross revenues for the second quarter of 2012 to be in the range of $58.5 million to $60.5 million. For gross revenue calculations, this assumes a reimbursable expense ratio of approximately 11.5%. We expect both Hackett Group and ERP Solutions gross revenues to be up sequentially. On a year-over-year basis, we expect Hackett Group to be up nearly 10% and ERP to be down by 10%. We expect our pro-forma diluted earnings per share in the second quarter of 2011 to be in the range of $0.10 to $0.12. For comparability purposes, the net impact of the stock tender offer and related indebtedness would add approximately $0.02 per diluted share on the previous year's reported results. Additionally, Q2 2012 includes increased sales and delivery costs relating to our investment in Hackett Performance Exchange of approximately $0.015 or an incremental $0.01 when compared to the second quarter of 2011. 
 Given our current introductory pricing strategy and increased depreciation and delivery costs, we now believe that Hackett Performance Exchange initiative will be dilutive for the balance of the fiscal year. Sequentially, we expect Total Company pro-forma gross margins on net revenues to improve as we expect the second quarter to benefit from higher revenue per professional and small seasonal reductions in payroll related taxes and vacation accruals. 
 As a result of our revenue guidance, we expect pro-forma gross margin on net revenues to be a approximately 37% to 38% in the second quarter. We expect pro-forma SG&A for the second quarter to be approximately $14.3 million, or up sequentially as a result of increased variable costs. We expect interest expense associated with borrowings under the credit facility to be approximately $250,000. We expect pro-forma EBITDA on net revenues to be in the range of approximately 11% to 13%. We expect our cash balances, excluding the impact of debt repayments, to be up on a sequential basis consistent with our earnings guidance. 
 At this point, I would like to turn it back over to Ted for the market outlook and strategic priorities for the coming months. 
Ted Fernandez: Thank you, Rob. As we look forward on the economic front, we continue to believe a gradual but volatile economic recovery is still underway, and that the existing sovereign debt related issues will continue to introduce volatility in our demand, as well as our clients' business demand. The complexity and volatility of the global economy requires organizations to remain focused on improved decision-making and operational excellence. We feel that our offerings are well aligned with these market conditions.
 Globally, we expect to see solid demand for our offerings with healthy demand in the U.S. and decent demand in Europe. With that demand overview as a backdrop, let me now comment on some of our strategic priorities. As we have mentioned, we continue to work hard to innovate new ways to develop recurring revenue offerings that leverage our intellectual property, as well as create an opportunity to serve clients more broadly. Using unique intellectual capital delivered in easy-to-use way, coupled with broader business transformation offerings, would also allow us to increase our client base, as well as increase our revenue per client. The best example of this strategy has been the revenue leverage we have experienced from our executive advisory client base, whose annualized contract value continues to grow very nicely on a year-over-year basis.  
 In 2011, we initiated the sale of our first 2 SAP and Oracle-based automated dashboard offerings of our new Hackett Performance Exchange with positive feedback from our clients. Our initial marketing campaign included an invitation to become a charter member of our new Hackett Performance Exchange. We have now signed up 62 clients across 106 modules and we have launched several marketing and other alliance initiatives which should allow us to continue to grow our charter launch membership base. The majority of these clients signed multiyear contracts which provide them with the right to cancel after a 6-month pretrial period or continue their paid contractual relationship. As I previously mentioned, the more clients that use our offering increases the value of our database, and the result -- and also results in feedback on how best to enhance the overall experience and value of our offering. 
 As I mentioned last quarter, this new offering, if successful, could help enhance our business model by creating a powerful and possibly continuous relationship with our client. Although there is much to learn about our new offering, we believe that could mean a new revenue stream, significant increase in data capture and operating insight, as well as a continuous way to monitor and benchmark the client's performance. We also believe this type of relationship could only help our consulting revenue well -- growth as well. We believe the Hackett Performance Exchange builds on our strategic desire to expand our brand permission and the continuous executive advisory relationship leverage we continue to strive for. 
 Let me provide some specific comments about our executive advisory client base. As I continuously cover each quarter, long term, our goal is to be able to ascribe an increasing percentage of our total annual revenues to clients who are continuously engaged through our executive advisory programs and, hopefully, our Hackett Performance Exchange. In Q4 -- in Q1 our executive advisory members increased to 830 and client counts are up to 235. Nearly 45% of our Hackett -- first quarter Hackett sales come from our advisory client base continuing to show its strong relationship leverage. 
 Lastly, although we believe we have a client base offering and market coverage to grow our business, we continue to look for acquisitions and strategic alliances to add scope, scale and capability that could strongly leverage our brand and our existing intellectual capital to drive and accelerate our growth. 
 In summary, we are pleased with our first quarter operating results and how they position us for the first half of the year. Our unique ability to combine proprietary intellectual capital with terrific talent, coupled with our strong cash flow and our ability to leverage our balance sheet, continues to bode well for our prospects. 
 As always, let me close by thanking our associates for their tireless efforts and always urge them to stay highly focused on our clients, our people and the exciting opportunities available to our organization. 
 Those conclude my formal comments. Let me now turn it over to the operator so we can go through the Q&A. 
Operator: [Operator Instructions] The first question we have comes from Morris Ajzenman from Griffin Securities. 
Morris Ajzenman: Just on the guidance, the topline. Last year in the second quarter you had $58.8 million revenues, so the range you give us here overall would be 0 to plus 3% versus last year in the second quarter, and then you guided Hackett Group to get up about 10%, I presume that's year-over-year, and ERP to be down 10%. But Hackett Group is a much larger absolute dollar amount, so I'm not sure how those numbers come together to the guidance versus last year's second quarter? 
Ted Fernandez: Well, as you know, we -- if you follow our guidance closely, which I know you do, we're always striving for the high end, not the low end of the guidance. But obviously, we provide the range to appropriately reflect the market risk. Having said that, this quarter's actually -- specifically the reason that the revenue appears to be pretty tricky is because of the decrease in the ERP revenue on a year-over-year basis, which really relates specifically to, if you recall last year's result, the tech group, the ERP groups were growing at an exceptionally high rate, which we never expected or conveyed that would be sustainable, right, with our long-term growth rate. So we're now comping first in Q1 and Q2 against very strong ERP growth rate in that first quarter, which you then see moderate very significantly in the third or fourth quarter if you had the individual practice information, obviously, that we have a privy to. But overall, we look at the second quarter and say Hackett Group is going to be up 10%, we expect our profitability, we expect to continue to improve our EPS, if we report in accordance with what we have for now, several years, right, and look at where we are on the range and we would consider that performance, that growth rate and that improvement in bottom line, when you consider that we've now added the additional investments in the Hackett Performance Exchange on a year-over-year basis, and the increases in related cost related to the Dutch -- the debt related to the Dutch. And we think that positions us beautifully for Q2 on a year-over-year basis. So I wouldn't get caught up on the specific impact of a single practice, which resulted last year in very significant year-over-year growth in tech, which we never expected to maintain. I would focus on the fact that we're continuing to improve profitability, or we expect to, that we'll continue to invest in HPE, and that the comps relative to the ERP side of the business will moderate as we get to the back half of the year. 
Morris Ajzenman: Fair enough. Second unrelated question, and I'll get back in queue. HPE, I just want to make sure I heard both you and Rob correctly, I think you stated in the first quarter that it impacted EPS by about $0.01 per share, and you're estimating the second quarter to negatively impact EPS by $0.015 a share, is that correct? And secondly, what would you think would be the total negative impact for the full year 2012 from Hackett Performance Exchange? 
Ted Fernandez: Well, first, you're right, it is $0.015. Incrementally, it's $0.01 on a year-over-year basis, but it is $0.015 over last year and the -- over second quarter of last year. As you then look beyond the year -- all we're saying is that if we continue the same increase that we're putting into Q2 to deliver the product -- and let me be more specific, we're getting a lot of clients that are using the -- we now have half of the clients that were signed up at year end using the product in production or in near production and development as they utilize the product and give us that feedback. And the single biggest -- if you call it feedback that we're getting back, if you can imagine a dashboard that provides a client up -- in excess of 100 metrics and on average, a number closer to 80 to 90 metrics depending on how the client is utilizing SAP Oracle. The single biggest question that we're getting from clients when they get all of these insight is we'd like to validate all of this information before we simply leverage this information to drive operating decisions. So that is requiring 2 things from us. One, to help with resources on the ground to help them with that reconciliation process and at the same time we're building an enhancement that would provide for some self -- if you want to call it, a reconciliation activity because our intent is for this product to be self-sufficient or to be a totally off-line product. So in my view, it's just part of the process. We've got some terrific clients, brands which you would recognize. Saying we're using -- here's what we need from you now, and we're responding, and we'll try to provide that reconciliation and validation process as quickly as efficient as possible. But when we look at the fact that we're going to ramp those resources because we want to engage those clients right now as they ask us of those questions, we're just assuming that, that expenditure will continue for the balance of the year and that it will continue to be dilutive for the balance of the year. So as I said, there's a lot that we have yet to learn about the product, we think we will be learning from our clients throughout the entire year, and we're just going to stay all over it and try to be as responsive as possible because we want to see this adoption take hold as quickly as possible. I wish we could tell you when it would, and when it would emanate, when it could be accretive. Obviously, I'd like to outperform anything that I'm communicating today. But it's a very ambitious product, it can have a very significant impact on our business, but it comes with a lot of strong execution demands from clients given the nature of the product, and we're just responding to it. I look at it again, and I look at the fact that we're growing profitability, we're making these investments, we're managing CapEx properly and I think it's just a great balanced way for the shareholders to have an opportunity to see the benefit of that product while continuing to grow the top and grow the profitability and cash flow of our business. That's the way we see it. But as you know, I get paid to be a glass-half-full kind of guy, and that's why I'm so committed to this strategy. 
Operator: [Operator Instructions] The next question is from George Sutton, Craig-Hallum. 
Jason Kreyer: Jason on the call for George. I noticed on the prepared comments, you said that international became kind of a bigger piece of the pie this quarter than it was a year ago. Wondering if that was driven by Europe or if mostly that's from Australia? 
Ted Fernandez: No, this was Europe's improved performance. So Europe not only had -- Europe's performance was consistent with the U.S. core Hackett Group performance, and we expect that to continue into Q2. So that was actually a pleasant surprise. And we've made some resource investments and executive investments in Europe as we continue to look, to reestablish the leverage and the profitability that Europe was yielding for us back in '08. As you know, we're substantially below the profitability levels in Europe today as compared to the '08 calendar year. So we've worked that pretty hard, so it's nice to see that revenue improvement. And I hope that some of these sovereign debt related issues don't change it because, obviously, we like what happened in Q1, and we like the momentum that, that group has going into Q2. 
Unknown Analyst: Okay, and then just one more.  In Q4, you'd mentioned that Oracle was slower in the quarter, just wondering what you saw in Q1, if there was any change from that, and if you have any ideas on the outlook from it? 
Ted Fernandez: No, no change. I mean, it's just -- the group had a very -- had a really strong first half of the year last year, and simply it was not sustainable. So the group is kind of -- somewhat returning back to the kind of revenue run rate that we've experienced in the past that'll be -- we expect that comparison in Q3 to be very similar to what we expect in Q2, and we expect Q4 to be the bottom from a comp perspective. So no, it's just -- we compete against some pretty significant providers in that space. We don't have the dominance in the Oracle, ERP space that we have in our EPM technology space. And it's reflected in the growth rate that we anticipate in this quarter and for the balance of the year. 
Operator: The next question we have comes from Bill Sutherland, Northland Capital. 
William Sutherland: So as you think about your new capital structure and capital deployment, how are you prioritizing? And kind of what kind of balance sheet are you sort of targeting now? Would you like a little leverage going forward? 
Ted Fernandez: Well, we're obviously very comfortable with the leverage and we're happy to have it at the current cost. So if it was -- if the cost to carry that debt was to stay anywhere near the levels we're experiencing today, we'd be very, very happy to utilize it. As Rob mentioned, we've already paid down $4 million of what we took out, just, what, 45 days ago? We would expect that to continue throughout the quarter. But if we had a chance to acquire and to use the maximum allowable in that revolving facility and that term note we've got in place, we wouldn't hesitate to do so. So I guess, the direct question is at the current cost and terms, we feel very comfortable with it and we'd continue to use it whether it be through acquisition or if the opportunity presented sometime in the future, if the acquisition opportunity wasn't there, and we had a chance to do what we just did in terms of providing liquidity to shareholders, we wouldn't hesitate to do that again. 
William Sutherland: Okay. So, Ted, you ended of the quarter with 62 HPE clients -- charter clients -- charter members. And of your early sign-ups that, I guess, they -- your first set of sign-ups, did they sign deals that had a 12-month trial? 
Ted Fernandez: No, they had 6-month trial. Although, in fairness, if those early ones were, as you can imagine as they were, very significant beta participants, I mean, they were getting the rost of the product, we're going to work with those clients through the beta process and through their feedback and response rate as much as needed. They were incredibly accommodating and continue to be accommodating to us, and we will do that with them. Having said that, we do have -- during this quarter, we'll have an opportunity to contractually renew, I believe, it's our first 9. And the real question will become -- and you've got to remember, it's 6 months after the product is downloaded by the client and utilized. So if we sign a contract, but if the client doesn't load that product -- if the client takes 60 days, for lack of better term, to load that product, especially that early version 1 product which was what we released in the latter part of third quarter, I just know that we're indebted to those clients heavily. Their feedback has been invaluable. And we'll transition those clients to a paid relationship when it's fair for both. Contractually, we do have terms that come through this quarter towards the end of the quarter, and we'll look at each client situation and act accordingly. But the key is to build a product that -- I mean, I'd love to convert the first 9, but the key is to really have a great product that you know will be used by a large group of clients. And this is a very important year because we're actually getting that feedback. As an example, we rolled out a very significant enhancement in April, just to give you an idea, and from that April activity, we're actually now planning to have a second enhancement rolled out like toward the end of this quarter. So as the clients have loaded up, I said half of them are using, we're getting a lot of feedback. So now we're getting a chance to really deal with the enhancements on a live basis, act accordingly and we're doing what we can to enhance the product and make it as valuable as possible. We think we're doing that, but only until we build a paying revenue base from that client base will we know it's true. Too early to tell. 
William Sutherland: So what you're really saying, I guess, is that the renewal terms will be flexible depending on kind of where these members are with their adoption, and that you're just not going to press too hard, you wouldn't be concerned if... 
Robert Ramirez: With those initial 10 clients, absolutely. Absolutely. Absolutely. I owe them a lot more than they owe me today. That's just the truth. And I say it openly because I've thanked them profusely because they helped us create a product, in my view, incredibly efficient within the -- almost just -- within the capital expenditure guidelines prelaunch of this product with the exception of last year. And I know that I've only been able to do that because these clients have been so responsive to us. So again, I'll go back, I'll treat them accordingly. 
William Sutherland: All right. Are you still planning to release a third module this quarter? 
Ted Fernandez: No. No. One thing that I've done -- because now then I would be doubling down. I had 2 choices to make, Did I ramp up resources to respond to the first 2 modules for those clients? And that's really what we've chosen to do. We did have the third module substantially underway, but no, the focus has been to really try to get all of the feedback and make all the enhancements for the first 2 modules before we launch a third. 
William Sutherland: And then finally, I'm curious, what is the -- can you describe the deal you have with SAP and Oracle. Is there any financial side to their participation once this goes revenue generation? 
Ted Fernandez: Well, I have no deal with either. I am -- we've been collaborating with one for really a number of months. But I still hope that as I -- as our product is finalized and the reaction in that client space builds, especially when you look at those brands, I sure would like to have a more formal relationship with one or both. Let's just put it that way. But that's just the CEO's strong desire. I don't know if they will ever have that with me. I know that it would be, obviously, a great help. I just don't know if I'll ever -- we'll ever be able to achieve that. Put it this way, Bill, if I had a formal financial commitment, my capital expenditure and number of resources and P&L hit would go up substantially. Right now, this is entrepreneurly done, we're doing it on our own, we're doing -- while we try to maintain improved profitability on a quarter-over-quarter basis and build our business. Because as you know, you've been out on the road with me, and as I tell shareholders, take a look at our existing offerings, our existing capabilities, the profitability to improve that EBITDA and profitability with our existing offerings over the next several years, and that should be the basis for your investments. And if we are fortunate enough then to have the Hackett Performance Exchange become a real revenue producer and contributor to our business, then let's just put it this way, as you know, then it's Katie bar the door, I think then the value of our company then is dramatically different than it is today. We have no basis to know whether we'll ever achieve that change, but we're working incredibly hard to give it our best shot, let's just say that. And the product -- the product shows well, the reaction to the product is well, but it is very ambitious. And in that ambition, and in that big opportunity, comes the fact that you're going to have to respond, invest, and do whatever it takes to see it through. And that's what intend to do, but we're going to do that very judiciously. We're not betting the farm or a quarter or anything to try to realize that strategy. 
Operator: And with that, there are no further questions. I'd like to turn the call back over to Mr. Ted Fernandez for closing remarks. 
Ted Fernandez: Thank you, operator. Let me, again, thank everyone for participating in our quarterly earnings call. We look forward to updating you again when we report the second quarter. Thanks again.